Operator: Good day and thank you for standing by. Welcome to the StealthGas Q1 2023 Results Conference Call. [Operator Instructions] Please be advised that today’s conference is being recorded. I would now like to hand the conference over to your speaker today, Mr. Harry Vafias. Please go ahead.
Harry Vafias: Good morning, everybody and welcome to our first quarter 2023 earnings call and webcast. This is Harry Vafias, CEO of StealthGas, to discuss market and company outlook. And with me is Mr. Sistovaris, handling Investor Relations, to discuss the financial aspects. Before we commence the presentation, I’d like to remind you that we will be discussing forward-looking statements, which reflect current views with respect to future events and financial performance. At this stage, if you could all take a moment to read our disclaimer on Slide 2 of the presentation. The risks are further disclosed in the StealthGas’ filing with the Securities and Exchange Commission. I would also like to point out that all amounts quoted unless otherwise clarified are stated in U.S. dollars. Today, we released our earning results for the first quarter 2023, reporting yet again another quarter of strong profitability. So let’s proceed to discuss these record results and update you on the company’s strategy and the market in general. On Slide 3, we summarize some of these highlights. The first quarter is usually a seasonally strong quarter for LPG trading. So we continue with our strategy of fixing more ships on time charters at improved levels. The reduction in spot market days by 13% and the fact that we had a single vessel to drydock increased the operational utilization of the fleet to 97.3%. We saw increased interest from charters in launching longer periods and we took advantage of that. With that, we managed to have secured today 80% of the remainder of 2023 days contracted out. We have locked in about $115 million in revenues for all subsequent periods. In terms of our sale and purchase activity, we continue to look for opportunities to sell some vessels in a boosting market. Together with our joint venture partners, we sold the [indiscernible] for a profit of about $14 million in March. Following that, we – following that, we recently entered into an agreement to sell 4 more vessels for a combined sale value of about $70 million. We will incur a profit that would be reflected in over the next couple of quarters, depending when the deliveries will take place to their new owners. Looking briefly at our financial highlights. Voyage revenues came in at a very strong $38.1 million compared to $35.9 million last year, a 6% increase, despite having a much smaller fleet. Our income from operations after operational expenses came in at $9.7 million compared to $8.2 million last year, a 19% increase. While our net income assisted by the return on investment from our joint ventures came in at $16.9 million compared to $7.6 million last year, more than double, translating to an EPS of $0.44 for the quarter. These profits were the best profits we have had for a single quarter. We continue to maintain a healthy balance sheet with ample liquidity of $92.6 million as we continue to pay down debt. I would also like to announce that our Board approved today a $15 million share buyback program that we are going to implement going forward. Due to high interest rates, our priority will be to pay down our debt. Therefore, the share buyback program may be gradual. We are confident that our cash flow will remain healthy for the rest of the year, thus giving us the confidence that we will be able to meet both targets. On Slide 4, for our fully owned fleet deployment update as of May, last time, we announced 8 new charters. This time, we announced 9 new charters and charter extensions at similar or better levels and we continue to ship charters interested in locking in longer-than-usual periods as we recently entered and present another time charter, which is always a good sign for the market. As such, we increased our contracted days to 80% for the remainder of 2023 and have secured about $70 million in revenues and total contracted revenues for all periods have increased to $115 million. We have almost our entire fully owned fleet on time charters and only 2 vessels trading in the spot market. Lastly, out of 300 vessels due for dry-dock this year, 1 was dry-docked in the first quarter, one was dry-docked in April and we expect to dry-dock the third one around middle of June. On Slide 5, we are providing an update on our 2 JVs, comprising of 5 vessels in total. Our first JV of 4 smaller vessels, we did not enter into any new time charters mainly due to the fact that 3 of these vessels are due for dry-dock this year and with the Gas Haralambos schedule to begin imminently. We are in discussion for jumping the Haralambos post its dry-dock. We may postpone one of the two remaining dry docks to 2024. As such, we plan to have the 4 vessels operating in the spot market. The second JV, comprising of a single medium gas carrier and the water plus one more under construction. During the first quarter, the JV is starting to solve the other meetings [indiscernible] for close to $40 million. This was a very profitable sale as StealthGas share of the profits were shown in the income statement for the quarter. Following the study in April, StealthGas received $19.2 million in cash in distributions from the JV. In terms of chartering, the remaining vessel [indiscernible] with a very profitable time charter for 1 year with charters option to extend 1 more year and additional charters opting to buy the vessel instead. But if it doesn’t get exercised, there is an option for the JV to sell the vessel back to the charter, all at very profitable levels. As previously discussed, we do not intend to fund a new acquisition with our own equity. The JV has sufficient cash in hand earmarked for this and have already entered into discussions with financials to provide that. In terms of our geography in Slide 6, our company focuses on regional trade and local distribution of gas. This graph is a snapshot of the positioning of the fleet, including the JV vessels as of May ‘23. The distribution of assets have not really changed since our last call as we continue to position more than some of our fleet in Europe, where rates are currently better and the rest mostly in Asia. Currently, we have 16 ships trading west of Suez, particularly in Northern Europe; 9 vessels in the Middle East, Far East; slightly less than 4 vessels in the U.S. and Caribbean; and the last 2 vessels in Africa. Mr. Sistovaris will now update you on our financial performance.
Konstantinos Sistovaris: Thank you, Harry and good morning to everyone. I will discuss our financial performance for the first quarter of 2023. Let us turn to Slide 7, where we see the income statement for the first quarter against the same period of 2022. Net revenues came in at $34 million for the quarter, a considerable increase by 8% compared to last year, considering that there was a reduction of around 12% in total fleet days. Operating expenses were $14.5 million for the quarter, similar to the previous quarter number. Operating expenses were elevated compared to last year despite the fewer vessels, and we expect them to come down in the next quarter, even though we face some inflationary pressures, particularly with crew costs. In terms of dry-docking, we had $1 million in the first quarter as we dry-docked one of the Handysize vessels and incur expenses for the preparation of 2 more dry docks that will follow. Depreciation is another item that we saw a decrease to $6.6 million due to the decrease in the number of assets. Interest and finance costs increased to $2.6 million due to the increases in interest rates, but they were low for this quarter as we included profit from the sale of two interest rate swaps. We expect these costs to increase going forward. This quarter, we also had a considerable increase in equity income in investees, which is our share in the profits of our JV structures. That came in at $8.8 million for the quarter as a result of the profits from the sale of the joint venture vessel. As a result, we ended the first quarter of 2023 with a net income of $16.8 million compared to $7.6 million for the same quarter of last year. This was a record quarterly net income figure for StealthGas. Looking at our balance sheet in Slide 8. Our liquidity, including restricted cash, short-term investments, that is time deposits, was at the end of the quarter $92.6 million, close to where we were at the end of last year despite having ticked down $32 million in debt during that quarter. The liquidity came from vessel sales and from improved operating cash flow. Advances of $23.4 million related to the payments made on the medium gas carrier vessels under construction. Our vessels’ net book value decreased from $628 million to $619 million due to regular depreciation and the sale of vessels. The total value of our investments in our JVs increased to $55.5 million. We did not invest more funds in the JVs. This increase was the result of the profits of the joint ventures. The overall outstanding debt was $245 million compared to $277 million in the previous quarter. As a result of the solid profits being reported, we increased shareholders’ equity to $532 million. Concluding our financial commentary with Slide 9, we will briefly reiterate the debt profile and capital structure. Following the financing done over the last couple of years, we have extended the maturity of the launch to 2025 and beyond. Recently, the focus has been towards paying down debt. During the first quarter of 2023, $32 million of debt, including regular amortization, was repaid, releasing five vessels. During the current quarter, another $36 million has already been paid, including full repayment of the debt on two more vessels. We expect by the end of the quarter to repay another $30 million related to the vessels that were agreed to be sold. We expect to continue to reduce debt through regular repayments as well as prepayments, as the case may be, in order to reduce our expenses. Overall, debt has been reduced from $302 million a year ago to below $250 million at the end of the first quarter. About 32% of the current debt is hedged with interest rate swaps at an average of 2% that mitigate the effects of interest rate rises. During the quarter, we had to close a couple of dispositions as a result of the debt repayments. We have incurred profit that further reduced the interest rate expenses for that quarter. Overall, we continue to maintain very low leverage and have increased the number of unencumbered vessels from 6 to 10. We have also signed a new loan agreement with our – one of our existing financiers for the financing of the two newbuilding vessels, whereby we expect to receive up to $70 million in finance proceeds for the delivery of the vessels, subject to customary closings. I will now hand you over to our CEO, Harry Vafias, who will discuss market company and outlook.
Harry Vafias: On Slide 10, we are providing some insight on the LPG market as a product and the increase in [indiscernible] so far. According to data from Banchero Costa during the first 3 months of 2023, LPG exports increased 6%, slightly better than was expected. The many exporters of LPG in the U.S. and Middle East countries continue to show significant double-digit increases in exports with U.S. firms planning capacity additions to further increase exports in the future. We expect European imports to start stalling and we may see some declines, especially as summer sets in. However, the theme of increased [indiscernible] imports also continues to be shut down even though LPG is not sanctioned, remains valid and better slow. Apart from Europe, the largest importer of LPG, India, China, Korea and Japan, have increased their imports. The rate reduction in LPG contract prices by price setter Saudi Arabia should be an opportunity for importers to restock. As far as China, the lifting of COVID restrictions led to a 4.5% increase in GDP in the first quarter, and the significant increase in imports of LPG, also positive for the short-term outlook is the fact that margins for PDH plants have finally turned positive and we see reported an increase in utilization rates for the production polypropylene. We have mentioned before that the main catalyst for China is LPG demand will be the increased capacity of the PDH plants that use imported propane as a feedstock. These plants have been plagued by [has a] delays and low production run rates due to the unfavorable margin, but the rapid expansion of PDH capacity in China over the last few years is certain. On Slide 11, we are presenting some of the key fundamentals in our shipping market commencing with the market rates for our market. During Q1 ‘23, [indiscernible], looking at the table in the published rates on a 1 year-over-year basis. There continues to be healthy growth between 4% and 15%, depending on the size and location. Looking at the small LPGs. West of Suez and spot market has remained tight since our last call, and charters have been left with few choices of vessels for their cargoes. And consequently, owners have been able to keep it at strong levels while also keeping idle time at a minimum. East of Suez and spot market in Asia has been a bit more active lately on both petchems and LPG, but there continues to be a high degree of typical TC coverage amongst the charters in the area. The pellet market has been relatively quiet as the TC coverage amongst charters was already high. Rates are marching upward slightly, but the gap with the titrate being fixed West of Suez is increasing. For the Handy Size vessels, the spot market has continued to be tight with very limited products coming available for spot cargoes. Charters have on several occasions found themselves with potential cargoes to list but no vessels to list them. On the pillar side, you have seen a bit of activity. Several existing charters have been extended and a couple of new ones concluded. The market remains tight, even though we’ve seen some of the short-term among charters coming to an end and the vessels switching back to LPG. The fundamentals of our core fleet of small pressurized ships continue to look promising as almost one-third of the fleet is over 20 years of age. As the market remains strong, trapping activity continues to remain subdued. Even the older vessels that we recently sold were destined for further trading. We should expect a tighter regulation in the future will push some of these vessels to get scrapped. The ordering activity continues to be subdued with only a handful of additional vessels being ordered. As per recent published orders, there are about 21 ships on order to be delivered in the next couple of years, including a couple that are set for 2023 deliveries but has gone under the radar. Such an order book in itself is not posing a risk of upsetting the balance of the market. We continue to believe that the risk of seeing bulk ordering of new vessels that keep the supply-demand balance is improbable. A sub-2% annual increase in the fleet before scrapping is one of the smallest, if not the smallest, in all shipping segments. On Slide 12, we are showing the evolution of our LPG fleet. In this slide, for comparison purposes, we have excluded the bank investors that we held up until 2021, and we are focusing on the pure LPG fleet in terms of cubic capacity, including the JV vessels. We have always been active in the sell and purchase market buying and selling ships. With the asset values rising as a result of the strong market, we find it an opportune time to sell some ships. After selling 4 of them in 2022 and 4 more this year as well as 1 vessel sold by our JV, we entered into an agreement to sell another 4 vessels for about $70 million in aggregate. We will record profits from these sales, but we are looking to sell more vessels if the price is right. Peru such sales have reduced the average age of our fleet to 9 years, which is quite more than for industry standards. Our JVs will also opportunistically sell vessels and occasionally buy as, for example, the one newbuilding medium gas carrier that our JV in demand is now expected to deliver in September this year. In Arcole fleet, we expect that with the addition of the 40,000 cubic meter newbuildings. Starting in late 2023, we will once again increase the capacity in terms of cubic meters while being able to better serve the diverse needs of our customers with ships of all sizes. It’s a strategic decision to diversify the fleet in and split in between smaller vessels that we have traditionally operated and larger vessels, Handysize and medium gas carriers that have slowly been entering our fleet since 2018. In Slide 13, we are outlining some of the key variables that may affect our performance in the quarters ahead. Obviously, the most important development is that we have mentioned earlier the reopening of China after a long wait of 2 years. With the Chinese economy back on track, we already see increased LPG trading. On the other hand, we are entering the summer months where normally demand for LPG is less strong. Summing up, we are reaping the fruits of the favorable market conditions and our sound business strategy and execution. After having reported in the previous quarter record annual profits, it’s with great pleasure that we announce this time record quarterly profits. The low double bottom line results were driven by two factors. The strong performance of revenue generation from our existing fleet and the returns we realized from the investments in our JVs following the sale of one vessel. The profitable sale of four vessels that we announced today will further boost our future results. We are taking the opportunity to divest assets in a rising market, and we will continue to diversify the fleet with the timely addition of bigger ships. At the same time, we are renewing our efforts to contain our cost base, and we will make use of our liquidity to deleverage in a rising interest rate environment and return value back to our shareholders via a $15 million share buyback. We are expecting stats will solidify the company’s future, while at the same time, we remain positive for the medium-term outlook for the LPG market. We have entered a period where the yields that we can provide to our shareholders can be substantial. We are taking advantage of the strong markets and have continued strengthening our balance sheet, which we believe will enable the seamless, continuous operations of our company. Luckily, we remain committed in our disciplined and balanced strategy that should continue to allow us to generate shareholder value throughout the market cycles. We have now reached the end of our presentation, and we should open the floor for questions.
Operator: [Operator Instructions] We will take our first question. And the question comes from the line of Tate Sullivan from Maxim Group. Please go ahead. Your line is open.
Tate Sullivan: Thank you. Thank you, Harry. And to start, so you ended the quarter – the first quarter with 32 ships, but the sale of an additional ship will be – has already been completed this quarter and selling four other ships, bringing your fleet down to 27 and then adding two newbuilds, so the fully delivered size of the fleet, 29 today with 5 JV vessels. Please, just start.
Harry Vafias: Sorry, what was the question?
Tate Sullivan: What is the fully delivered size of the fleet, Harry, just to confirm? Is it 29 after you finalized all the sales that you announced today, 29 ships?
Harry Vafias: It’s a very fluid environment as we are buying and selling ships on a monthly basis, Tate, but I think your number is right.
Tate Sullivan: Okay. Understood. And then announcing the $70 million sale, does it support the previously disclosed net asset value that you disclosed? Was it a month ago or so longer at 14.50. And can you talk about the gains on that sale, or is – or have you not finalized it?
Harry Vafias: I think that makes energy higher than that – than what was presented.
Tate Sullivan: Okay. So, that higher value, okay. And then how about the opportunity to buy larger ships in this rising rate environment and then I mean could you – would you consider newbuilds, is it still extended delivery timelines for newbuilds? Are there opportunities to buy larger ships? Can you comment on that market, please?
Harry Vafias: I will, the ships are now very expensive that’s why we are selling ships. Newbuilding slots are – if you find any, they are going to be very forward, so not a big advantage to our shareholders. So yes, it’s going to be difficult.
Tate Sullivan: Okay. And then you mentioned paying down. So, the sales of the four ships bringing in and reducing the debt that you have mentioned earlier in the remarks too, would – did you say that your – the initial pace of the repurchase activity might be a bit slow compared to paying down debt? And how long is the repurchase authorization, please? Two questions.
Harry Vafias: Sorry, I didn’t get the last part of your question.
Tate Sullivan: Well, let’s start with how long is the repurchase authorization for the $15 million?
Harry Vafias: We haven’t given a timeline.
Tate Sullivan: Okay. And then can that start immediately as well, or is there – when can StealthGas start repurchasing shares?
Harry Vafias: Yes, we are authorized now to start whenever we want. So, yes, the idea is to start straight away.
Tate Sullivan: But did you mention earlier, maybe in the near-term, more to focus on paying down debt?
Harry Vafias: No, we didn’t say that. We said we wanted to do both things concurrently. But because obviously, we are not generating hundreds of millions, we have to prioritize the debt repayments over share repurchases, which means that we are going to do both, but maybe in a gradual way.
Tate Sullivan: Okay. Great color. I will hop back in the queue. Thank you, Harry.
Harry Vafias: Thank you.
Operator: Thank you. We will take our next question. And your next question comes from the line of Climent Molins from Value Investor’s Edge. Please go ahead. Your line is open.
Climent Molins: Good morning. Thank you for taking my questions. I wanted to follow-up about recent asset sales. You had previously strived to sell some of the oldest vessels on the fleet, and I was wondering what’s the reasoning behind the decision to sell some of the more modern assets, is it just taking advantage of a strong pricing environment, or is there something else?
Harry Vafias: Very good question. One, yes, the values for the ships now are quite high, so it’s a good time to sell. And two, we want – as we have said many, many, many quarters, again and again, we want to have a bigger balance, a better balance between smaller ships and larger ships. So, we need to sell smaller ships and when the time is right, buy bigger ships. So, that’s why we have done it.
Climent Molins: That’s helpful. Thank you. And looking ahead, we are going to enter the seasonally weaker period of the year. Could you provide some guidance on whether you see profits growing for Q2 and whether you have any visibility for Q3?
Harry Vafias: No, we don’t give guidance. But as we have already said, 80% of the 2023 days are already fixed. So, we don’t expect huge changes in our numbers.
Climent Molins: Alright. Thanks for the color. That’s all for me. And I will pass it over. Congratulations for the quarter.
Harry Vafias: Thank you.
Operator: [Operator Instructions] We will take our next question. Your next question comes from the line of Tate Sullivan from Maxim Group. Please go ahead. Your line is open.
Tate Sullivan: Thank you for taking my follow-up. And then in terms of the joint venture income in first quarter, $8.8 million, I think before, you had mentioned, how much of that was the gain on the sale versus the JV income, if you can disclose it?
Harry Vafias: $7 million was the gains out of the $8.5 million.
Tate Sullivan: And then did I hear you mention earlier that operating expenses will decline quarter-over-quarter in 2Q ‘23 and being – but average operating expenses per ship? Are you saying, I mean, the total level based on the selling of the ship?
Harry Vafias: That’s what we are trying for, but inflation is a big enemy.
Tate Sullivan: Okay. Thank you very much.
Harry Vafias: Thank you.
Operator: There seems to be no further questions at this time. Please continue.
Harry Vafias: We would like to thank all of you for joining us on the conference call today and for your interest and trust in our company, and we look forward to having you with us again for our Q2 results in August. Thank you.
Operator: Thank you. This concludes today’s conference call. Thank you for participating. You may now disconnect.